Operator: Good day, ladies and gentlemen and welcome to the American Financial Group's Second Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this conference is being recorded. I will now turn the call over to your host, Diane Weidner. Please go ahead.
Diane Weidner: Thank you. Good morning and welcome to American Financial Group's second quarter 2014 earnings results conference call. I'm joined this morning by Carl Lindner III and Craig Lindner, Co-CEOs of American Financial Group; and Jeff Consolino, AFG's Chief Financial Officer. If you are viewing the webcast from our website, you can follow along with the slide presentation if you'd like. Certain statements made during this call are not historical facts and may be considered forward-looking statements and are based on estimates, assumptions, and projections, which management believes are reasonable, but by their nature subject to risks and uncertainties. The factors which could cause actual results and/or financial conditions to differ materially from those suggested by such forward-looking statements include, but are not limited to those discussed or identified from time-to-time in AFG's filings with the Securities and Exchange Commission, including the Annual Report on Form 10-K and quarterly reports on Form 10-Q. We do not promise to update such forward-looking statements to reflect actual results or changes and assumptions or other factors that could affect these statements. Core net operating earnings is a non-GAAP financial measure, which sets aside significant items that are generally not considered to be part of ongoing operations, such as net realized gains and losses, discontinued operations and certain non-recurring items. AFG believes this non-GAAP measure is a useful tool for analysts and investors in analyzing ongoing operating trends and will be discussed for various periods during this call. A reconciliation of net earnings attributable to shareholders to core net operating earnings is included in our earnings release. If you are reading a transcript of this call, please note that it may not be authorized or reviewed for accuracy, plus it may contain factual or transcription errors that could materially alter the intent or meaning of our statement. Now, I'm pleased to turn the call over to Carl Lindner III to discuss our results.
Carl Lindner III: Good morning. We released our 2014 second quarter results yesterday afternoon. I am assuming that our participants have reviewed our earnings release and the investor supplemented posted on our website. We're pleased to report core net operating earnings of $1.07 per share, an 11% increase in the comparable prior year period. These results reflect solid property and casualty operating earnings and continued strong profitability in our annuity segment and set a new AFG record for second quarter core operating earnings per share. Annualized core operating return on equity was 9.6% for the 2014 second quarter compared to 9.2% for the second quarter of 2013. Net earnings were $1.15 per diluted share that include $0.08 per share of realized gains. Annualized return on equity was 10.3%. And adjusted book value per share was $47.95 at June 30, 2014, up 4% from year-end 2013. Based on the results for the first half of this year, we continue to expect AFG’s 2014 core operating earnings to be in the range of $4.50 to $4.90 per share. During the second quarter, we repurchased $20 million of AFG’s common shares at an average price of $57.95. We’ve also continued to grow our businesses. We achieved year-over-year growth of 19% and average annuity assets and reported an increase of 35% in net written premiums in our Specialty Property and Casualty Group. Even if you exclude the impact of Summit, our specialty workers’ compensation subsidiary acquired on April 1, 2014, our Specialty Property and Casualty Group net written premiums grew by 15%. Before we move on to discuss detailed results, I should note that last week AFG specialty insurance companies were once again named to the Ward's 50 property and casualty and life health list for safety, consistency and performance. When you consider that in the United States there are over 3,000 property and casualty insurance companies and over 750 life and health companies, it’s quite an accomplishment to be recognized on both Ward's 50 lists. In fact, of the 50 property and casualty companies selected by Ward's, only two have been rated A or better by A.M. Best for over 100 years. We’re very proud that our flagship property and casualty insurer Great American Insurance Company is one of those two. Now, I’d like to review second quarter Specialty Property and Casualty results summarized on slides four and five of the webcast. On slide four, you’ll see summary results for our Specialty Property and Casualty Group. Gross and net written premiums were up 24% and 33%, respectively, in the 2014 second quarter compared to the same quarter a year earlier, due primarily to higher premiums in our Specialty and Casualty Group, which includes one full quarter of results from Summit. Specialty Property and Casualty insurance operations generated underwriting profit of $29 million for the 2014 second quarter compared to $21 million in the second quarter of 2013. Second quarter 2014 combined ratio of 96.9% was the slight improvement from the 97% recorded in the 2013 second quarter. Results for the second quarter of 2014 include improved accident year underwriting profitability and the impact of adverse prior year reserve development and lower catastrophe losses. Second quarter 2014 Property and Casualty net investment income was approximately 17% higher than the comparable 2013 period, reflecting the investment of cash received in connection with the Summit acquisition. About two-thirds of our Property and Casualty businesses reported pricing increases during the second quarter, resulting in an overall renewal rate increase of approximately 3%.It’s the 11th consecutive quarter that we reported overall price strengthening. Pricing continues to keep pace with loss cost trends, which appear to be relatively benign across almost all of our Property and Casualty businesses. On slide five, you will see a few highlights from each of our Specialty Property and Casualty business group, the property and transportation group reported an underwriting loss of $18 million in the 2014 second quarter compared to a loss of $31 million in the comparable prior year period. 2014 second quarter underwriting loss was primarily due to the adverse prior year reserve development at our National Interstate subsidiary, improved accident year results and lower catastrophe losses in the property and transportation group during the second quarter of 2014 more than offset the higher adverse prior year development. The property and transportation group’s calendar year combined ratio excluding National Interstate improved 10.3 points in 2014 second quarter when compared to the same 2013 period. While we are pleased to see improved results in many of the other businesses in this group year-over-year. Gross and net written premiums for the second quarter of 2014 were 10% and 8% higher respectively than the comparable 2013 period, crop premiums reported in the second quarter of 2014 are consistent with average historical result whereas crop premiums reported in the second quarter of last year were lower than historical trends due to delayed acreage reporting from insured. Excluding our crop insurance business, gross written premiums increased by 5% and net written premiums increased by 4%. Favorable growing conditions for corn and soybeans have resulted in a strong yield forecast this year offsetting this good news however our commodity price declines and also hail damage from spring storms primarily in Nebraska. With consideration given to all these factors, we've lowered our profit expectations in our crop insurance business. Since about 40% of our business is written at 80% to 85% coverage levels, we'll continue to watch with interest as the growing season develops. Our revised crop earnings projections are embedded in our current 2014 earnings guidance, which we'll discuss shortly. Overall rates in the Property and Specialty Property and Transportation Group increased 6% on average for the quarter, with our National Interstate subsidiary achieving a 9% rate increase, we were happy seeing. Specialty Casualty Group recorded an underwriting profit of $30 million in the second quarter of 2014 compared to $32 million in the second quarter of ‘13. Higher underwriting profitability in our workers comp businesses was offset by lower underwriting profits in our international and general liability lines of business. Lower favorable reserve development year-over-year in our excess and surplus lines and executive liability businesses also impacted these results. Gross and net written premiums for the second quarter of 2014 were up 49% and 76%, respectively, when compared to the second quarter of ‘13. Excluding premiums from Summit, gross and net premiums grew by 18% and 29%, respectively. After further adjusting for a timing difference in reinsurance ceded in our international businesses, net written premiums in this group grew 19%. Speaking of Summit, we're pleased to go with the transition to AFG and results are exceeding our expectations. While all businesses in this group reported growth, our workers compensation, excess in surplus lines and target markets businesses were primary drivers of the higher premiums. Pricing in this group was up approximately 3% on average for the quarter. Specialty financial group reported an underwriting profit of $15 million in both the second quarters of 2014 and 2013. Most of the businesses in this group achieved excellent underwriting margins during the second quarter of this year. Gross written premiums were down 5% while net written premiums were up 3% during the 2014 second quarter when compared to the same 2013 period. Growth in gross written premiums was tempered by the October 2013 sale of a service contract business which seeded all those premiums under reinsurance contracts. Net written premiums increased primarily as a result of growth in our fidelity and crime and surety businesses partially offset by lower premiums in lender price mortgage property insurance offered by our financial institutions business. Pricing in this group was down approximately 1% for the second quarter. Now please turn to slide six for an overview of the 2014 outlook for the specialty property and casualty operations. Overall we continue to expect growth in net written premiums in the range of 17% to 21%. And excluding Summit growth in net written premiums is expected to be in the range of 5% to 9%. We now estimate a combined ratio between 92% and 95% narrowed slightly from the range of 91% to 95% estimated previously. And looking at our specialty property and casualty groups we now expect net written premiums in our property and transpiration group to be down 2% to up 2% from '13 levels, a decrease from our previous estimates of flat to up 5%. Excluding the impact of our crop insurance business, we expect growth in net written premiums to be in the range of 3% to 6%, a slight decrease from the growth of 4% to 7% that we’d estimated previously. Based on results of the first half of 2014, the combined ratio in this group is now estimated to be in the range of 96% to 100% up from 94% to 98% estimated previously. Net written premiums in our Specialty Casualty Group are expected to grow in the range of 49% to 53% up from the 45% to 49% estimated previously. Excluding Summit we now expect growth in this group to be between 16% and 20% an increase from our initial estimate growth of 12% to 16%. And our estimate for the combined ratio in this group is in the range of 89% to 93% a slight improvement from the range of 90% to 94% estimated previously. Specialty Financial Group we now expect written premiums to be flat to up 4% when compared to our 2013 results. This is a decrease from the growth of 3% to 7% we estimated previously. And our estimate for the combined ratio in this group is unchanged in the range of 87% to 91%. While we continuing to target overall annual renewal rate increases this year for our Specialty Property and Casualty Group to be in the range of 3% to 4%. And we now expect Property and Casualty net investment income to grow by 14% this year as a result of cash received in connection with the Summit acquisition. This is an increase from the 10% growth previously estimated. Now I'll turn the discussion over to Craig to talk about the results in our Annuity segment and AFG's investment performance.
Craig Lindner: Thank you, Carl. The Annuity segment reported core pre-tax operating earnings of $84 million in the 2014 second quarter compared to $82 million in the comparable 2013 period, a 2% increase as shown on slide nine. Annuity premiums were 949 million in second quarter of 2014, an increase of 10% from the comparable prior year period, but slightly lower than the first quarter of 2014. The year-over-year increase was largely the result of growth in sales of fixed indexed annuities and the financial institutions market. Turning to slide eight, you'll see the AFG's 2014 earnings continue to benefit from growth in annuity assets which are up 19% over the last year. The impact of the growth and annuity assets was offset by the runoff of higher yielding investments and the impact of fluctuations and interest rates in the second quarters of 2014 and 2013 yet on the accounting for fixed indexed annuities. On this slide, you'll see the impact of fair value accounting related to fixed indexed annuities on our second quarter results in both 2014 and 2013. This impact can be measured by looking at the difference between in net spread earned and the net spread earned before impact of fair value accounting. In the second quarter of 2014, the interest rate index used by AFG to discount certain fixed indexed annuity reserves decreased by 15 to 25 basis points versus AFG’s assumption that interest rates would rise. This difference had a negative impact on AFG’s earnings due to the fair value accounting prescribed for fixed-indexed annuities. Conversely in the second quarter of 2013, the interest rate index used by AFG, increased 70 to 80 basis points, which was much higher than previously assumed by AFG. This difference resulted in a favorable impact on AFG’s earnings. As a result of the above, AFG’s net spread earned was 146 basis points in the second quarter of 2014, a decrease of 19 basis points from the comparable previous year period. While these results follow GAAP accounting rules, the results don’t necessarily reflect the economics of the business. The pre-tax DAC impact of fair value accounting measured in dollars was a negative $9 million in this quarter compared to a positive $12 million in the year ago quarter, a decrease in year-over-year second quarter pre-tax operating earnings of $21 million. Excluding the impact of these fair value adjustments, the net spread earned would have increased by 21 basis points year-over-year as reflected in the bottom row of the table appearing on slide eight. Additional information about the components of these spreads for AFG’s fixed annuity operations can be found in AFG’s quarterly investor supplement posted on our website. Please turn to slide nine for an overview of the 2014 outlook for the annuity segment. While we expect fixed annuity investments and average fixed annuity reserves to grow by 15% to 18% in 2014, we continue to expect core pre-tax annuity operating earnings in 2014 to be flat compared to the $328 million reported in 2013. We estimate that our net spread earned which is the basis for GAAP reported earnings will be 20 basis points to 25 basis points lower than the 160 basis points achieved for the full year of 2013. The second half of last year was a very strong period for fixed and fixed-indexed annuity sales for both AFG and the industry, which we attribute primarily to the rising interest rate environment in 2013. That sales pace has declined in the first six months of 2014, which we attribute primarily to the decreasing interest rate environment this year. As a result, based on information currently available, we now expect that premiums for the full year of 2014 will be 5% to 10% lower than the $4 billion achieved for the full year in 2013. Significant changes in interest rates and/or stock market could lead to significant positive or negative impacts on the annuity segment’s results. Please turn to slide 10 for a few highlights regarding our $35 billion investment portfolio. AFG recorded second quarter 2014 net realized gains on securities of $7 million after tax and after deferred acquisition costs compared to $26 million in the comparable prior year period. Unrealized gains on fixed maturities were $656 million after tax, after DAC at June 30, 2014, an increase of $215 million from year-end. Unrealized gains on equities were a $149 million, after tax at June 30, 2014, an increase of $27 million from year-end. As you will see on slide 11, our portfolio continues to be high quality with 86% of our fixed maturity portfolio rated investment grade and 97% with an NAIC designation of one or two, its highest two categories. We provided additional detailed information on the various segments of our investment portfolio in the quarterly investor supplement on our website. I will now turn the discussion over to Jeff who will wrap things up -- wrap up our comments with an overview of our consolidated second quarter 2014 results.
Jeff Consolino: Thank you, Craig. Good morning everyone. On slide 12, you will see highlights for our consolidated income statement for the three months period ended June 30, 2014 and June 30, 2013. This table summarizes the segment results following Craig just reviewed with you and highlights other key items impacting AFG’s consolidated operating results. Core net operating earnings were $1.07 per share for the quarter, representing an 11% increase from the second quarter of 2013. Core net operating earnings for 2014 second quarter were $99 million compared to $87 million in the prior year’s quarter. Looking at segment results, our P&C segment operating earnings were $97 million in the second quarter of 2014, this compares to $82 million in the 2013 second quarter. This is an increase of $15 million or 18%. Carl will discuss the factors impacting underwriting income in the specialty P&C group, where underwriting profit increased from $21 million in the 2013 second quarter to $29 million in the 2014 second quarter. P&C pre-tax net investment income increased by $11 million year-over-year and $65 million in Q2 2013 to $76 million in Q2 2014. This increase as a result of cash received in connection with the Summit acquisition. Other P&C expenses increased by $6 million year-over-year from $2 million in Q2 2013 to $8 million in Q2 2014 and were partially offset by a $2 million improvement in prior year development in our P&C runoff operations.  As Craig described, our Annuity segment core pre-tax operating earnings were $84 million, an increase of $2 million or 2% when compared to the second quarter of 2013. Our runoff long-term care and life operations reported a loss of $2 million in the 2014 second quarter, consistent with results from the second quarter of 2013. Interest expense was $1 million lower in the 2014 second quarter and other expense decreased by $1 million in the 2014 second quarter. Finally, annualized core operating return on equity was 9.6% for the 2014 second quarter, an increase over the 9.2% in the second quarter of 2013. You'll see on slide 13 that our net earnings for the quarter were $106 million or $1.15 per share. Net earnings include $7 million or $0.08 per share in asset backed realized gains. Turning to slide 14. You'll see that AFG's adjusted book value per share increased by $1.16 during the quarter to $47.95. Tangible book value on an adjusted basis at June 30, 2014 was $44.99. Our capital adequacy, financial condition and liquidity remain strong. We maintain sufficient capital in our insurance businesses to meet our commitments to rating agencies, have more than enough capital flexibility to grow our business or take advantage of market opportunities as they arise. Our excess capital stood at approximately $740 million at June 30, 2014, this includes parent cash of approximately $240 million. We expect to continue to grow our excess capital through the remainder of 2014. In the second quarter of 2014, we repurchased $20 million of our common stock. As of July 28th, there approximately 5.2 million shares remaining under our repurchase authorization AFG reviews its opportunities for the deployment of capital on a regular basis. On the final slide, slide 15. You'll find the recap of 2014 guidance AFG's core net operating earnings as well as guidance reviewed earlier in the call were the key financial measures in Specialty Property and Casualty group and the annuity segment. These expectations also include anticipated results for Summit which will be consolidated in our 2014 results for nine months. As a reminder, AFG’s expected 2014 results exclude non-core items such as realized investment gains and losses as well as other significant items may not be indicative of ongoing operations. We would now like to open the lines for any questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Amit Kumar with Macquarie. Your line is open.
Amit Kumar - Macquarie: Thanks and I guess good afternoon. Just two quick questions the first question goes back to the discussion on crop, I think your comment was you had lowered your profit expectations. Does that mean that it still expected to earn based on wherever you are some profit or is it a breakeven right now?
Craig Lindner: No, I think we had assumed in our original guidance kind of a solid average type of year, I think because of the hail damage from the spring storms primarily in Nebraska we have seen some and I think the industry probably has to have seen on the non-government mode apparel business and as it impacts just the pure crop hail business that we right and the industry rights, that in the commodity declines it’s kind of hard to figure out when all said and done where those prices end up. But as of yesterday I think commodity prices were down 19% from the spring discovery price to the current December corn future. So, I think we are just trying to be as accurate as we can, as we reflect guidance going forward.
Amit Kumar - Macquarie: And where does your, can you remind us where does your reinsurance protection on that kick in?
Craig Lindner: I think our stop loss protection steps in at a 100% loss ratio and….
Amit Kumar - Macquarie: I'm sorry, I didn't mean to interrupt you.
Craig Lindner: On our, generally on our model peril business, we have an excess cover that I think where our entry points around a 100% loss ratio or some.
Amit Kumar - Macquarie: That's quite helpful. I guess the one other question I have and I'll requeue. I'm looking at your tax rate, looking at your capital position, looking at discussion to capital. I'm curious just based on the discussion on consolidation, what were your sort of broader thoughts about looking at Bermuda platform and possibly inverting for tax benefit.
Craig Lindner: Amit, can I go back to the crop? I just want to make sure that, I gave you an answer, we're still projecting a decent profit in our overall crop business is just we're projecting because of the reasons I mentioned is being lower than what we had in our previous guidance.
Amit Kumar - Macquarie: Got it, that's helpful. I'm sorry, I enter to the..
Craig Lindner: Okay. Would you mind -- I was still kind of focused on the crop. Would you mind repeating it?
Amit Kumar - Macquarie: The question I was asking was I was looking at the taxes you are paying looking at the capital position and I guess your stock price I was curious what your thought might be in terms of looking at the Bermuda platform and acquiring it for a tax inversion strategy?
Craig Lindner: I think as CEOs and executive management we are always first to look at any and all strategies that would help build shareholder value overtime. That said when looking at the Bermuda inversion generally just to do something from a peer tax standpoint is not something strategically that is very attractive to us. For us to do something, to do an inversion or even look at that, we would have to be doing it with a group of business that has group of businesses that are highly complimentary to what we're doing. And also that our stock continues to be a bit undervalued compared to other peers would have to be without paying some big premium on an inversion that wouldn't lead to the benefit of AFG shareholders.
Amit Kumar - Macquarie: Got it. That's all I have for now thanks for the answers and good luck for the future.
Jeff Consolino: Hey Amit, this is Jeff. Shame on for trying to bring me back to Bermuda.
Amit Kumar - Macquarie: Come on. I thought you loved it.
Operator: Our next question comes from Ryan Byrnes with Janney Capital. Your line is open.
Ryan Byrnes - Janney Capital: Great. Thanks for taking my question. I’ll stick with Jeff here; he may have some insight; I’m being a little lazy here. But how often does this National Interstate do deep dive reserve studies? Just trying to figure out how much longer that could be potentially headwind for AFG as well.
Jeff Consolino: Ryan, this is Jeff. I did not have a chance to listen to the National Interstate call but I would encourage anyone wanting to learn more about National Interstate business to get a copy of that transcript as well as their earnings release. But specific to your question, the study by leading international actuarial firm or National Interstate was not anything that is scheduled with any regularity or period study, it was engagement that was of its type that National Interstate undertook in response to the trends they were seeing in their business as well as in response to some public comments that were made regarding reserving process that management wanted to make sure they were receiving other opinions in support of their [best estimate] of loss reserves.
Ryan Byrnes - Janney Capital: Got you, okay. And then quickly on the Specialty Casualty segment, just trying to figure out how and I realized it’s one quarter and it’s tough to forecast that going forward; I’m just trying to figure out what kind of impact Summit had and trying to think about it going forward. Again only looking at this quarter, it looks like the underlying loss ratio in that segment kicked up and the expense ratio went down. Is that fair to think about that way going forward or is there some one-timers in there, just trying to think about that going forward?
Carl Lindner III: Yes, we discussed this before the call. We thought it might be helpful to everybody to on a normalized, annualized basis and our best guess is that Summit will decrease our expense ratio overall as a group by about a point and then we’ll probably increase our loss ratio by approximately two points in that. If you’re looking at the individual components, we thought there will be an easy way to kind of -- again. It's approximate but that’s our best guess.
Ryan Byrnes - Janney Capital: And just to clarify that that’s in the Specialty and Casualty segment or is that for the PC?
Carl Lindner III: That would be overall as a company.
Ryan Byrnes - Janney Capital: Okay.
Jeff Consolino: Ryan, in the Specialty and Casualty segment, Summit in the quarter represented a little bit more than 25% of the earned premium. And if you went back to the January presentation we gave upon the acquisition of Summit, I’m working with round numbers here, but Summit on a trailing 12 month basis was at about a 75% loss ratio, about 21% expense ratio. And so that's why as Carl outlined, the introduction of Summit which is now better than a quarter that premium we tend to raise the loss ratio and decrease the expense ratio, once you factor that into the mix.
Ryan Byrnes - Janney Capital: Got you. Thank you, that's helpful. And then with the -- I believe I recall you guys gotten cash for some investment portfolio. I just want to see if that’s fully invested at this point or where you guys are in that process?
Jeff Consolino: We indicated it would take two full quarters from the date of acquisition to get fully invested. We close the transaction on April 1st. So we don’t expect to be fully invested until the end of next quarter. What I would say is that first we have an excellent money management arm as they are part of our company, as they participate in the planning, they have gotten a good jump on getting that cash invested but we are not all the way done yet.
Ryan Byrnes - Janney Capital: Got you. Thanks. That’s all I’ve got.
Operator: Our next question comes from Vincent DeAugustino with KBW. Your line is open.
Vincent DeAugustino - KBW: Hey everyone. Just to start off, I guess I will ask another crop question out, maybe this one is -- just wanted to check my math against kind of what you guys might be thinking about since you probably have a better handle on it. But if we are conceptually thinking about revenue policies just in the conversation of what’s going on with commodity prices and if we take a look at the 75% average coverage level that has been elected out there and think about yields that are probably going to come in above actual production history, by my math I think we might need another 10% to 12% reduction using corn prices ample before we’ll start triggering revenue payments. So I completely understand on the government program that there is a loss ratio for it but would that math on the commodity prices for corn seem about right based on what you guys would be thinking about?
Craig Lindner: I think it probably gets a little bit more complicated than that is probably the right answer. Clearly part of the loss gets mitigated because of the improvements in the yields and that but the end result is what happens state by state and it gets a little more complex than that. I think we felt Vincent that with the corn commodity price change and the hail losses early on that it’d be prudent to shave our profit estimate a little bit, maybe in last year we were probably a little more conservative, when all of a sudden done in others that still could be the case. But we are really kind of giving in our best estimate at this point.
Vincent DeAugustino - KBW: Okay. I don't think we cannot give from taking a more conservative stand. So, that's appreciated. Just I guess on that topic for Jeff or Carl. If we take a look at the Property and Transportation segment and then try to strip out what National is reporting on its own it gets fit into that segment, imply that if your results there actually pretty stable from a reserving standpoint even potentially touch better. And so, I'm just curious if AFG is providing some actual support for the entire house, how we end up seeing such desperate trends between the two books and maybe I'm missing something or of course there is some difference in the composition of those two books. I know it's not a good comp or even a identical comp. I'm just curious, if any thoughts you might have in terms of the disparate trends between the two? And thank you.
Craig Lindner: AFG in the P&C business operates as a collection of very distinct of franchises and businesses. That's why I don't think that anyone is like any other one. I think Vincent, it's widely published that the commercial auto sector has been troubled over the last several years and there was a prolonged soft market, and as a commercial auto specialist that's affecting National Interstate to a greater extent and it would for the rest of our business, because their business doesn't have nearly that waiting in commercial auto or that level of participation. Now you flip it on a pad, you look at the trends in workers comp, they're all very favorable at this moment and after that in January and forward the benefit of having a diverse group of specialty businesses is that you get the opportunity to have deliver profits that are unrelated to each other, but National Interstate is just not a step, what the great results in many of our other businesses. And we have a lot of confidence in the management team there. As we said before we will do everything we can to help and restore the profitability and you didn't invite the comment on the underlying profitability take out that $28 million of reserve strengthening. How we think the underlying accident year is trending in the right direction and you would expect that when managed build outs and gets appropriate rate increases.
Vincent DeAugustino - KBW: To your front on the rate increases I mean so clearly their piece of reaching has drastically improved even sequentially for first quarter. Are you guys seeing in your own transportation book a similar change or should we think about that as being much more specific to their appetite as far as business they're setting to reach the your profitability goals that they're targeting?
Craig Lindner: As the business that great American trucking side is primarily physical damaged. So it did release a lot different I think than National Interstate’s book and it's doing just fine. So again as Jeff said it’s kind of hard to compare the different businesses because they're not really similar.
Vincent DeAugustino - KBW: Okay, that's very helpful. Thank you.
Operator: Our next question comes from Paul Newsome with Sandler O'Neil. Your line is open.
Paul Newsome - Sandler O'Neil: Good morning. My impression was on the earnings guidance is that you may have had elevated expectation for results of Summit. I was wondering if that’s a fair assessment and if it is the case could you maybe give us some color on where that maybe?
Craig Lindner: Paul, did you say that, I am just little confused by the question so said we had an elevated extra… I think my comment this morning was is that Summit is exceeding our expectations at this point.
Paul Newsome - Sandler O'Neil: That’s what I mean, exceeding elevated above, why do you think that is the case though that it does?
Craig Lindner: I am good management team, a lot of the act of pricing that the management team put in place to waste couple of years the underwriting focus and selection of the business and I think this is led to solid improvement in the results which is good. I think what we’re seeing is this is early but so far its exceeding our expectations from one way did the transaction.
Carl Lindner III: Paul a couple of little data items there, I can go in back to our January presentation where we laid out the case for the business and also the run rate. We talked about what it would take to bring it into AFG. The loss ratio is performing as we’d hoped, our pricing is at least as good as we’d hoped. We’ve bought external reinsurance on the business really for the first time since it was protected in the Liberty Mutual full before hand and we wound up doing slightly better on the reinsurance cost that we had anticipated. And for the earlier question, we went to invest the cash, we had a target for the investment yield and we had a target for the timing. And we're slightly ahead of schedule on the timing of those funds getting invested. So I think that would be my comments on kind of the [specialized] performing better than expectation.
Paul Newsome - Sandler O'Neil: Those were my only questions. I appreciate it.
Operator: (Operator Instructions). Our next question comes from Jay Cohen of Bank of America Merrill Lynch. Your line is open.
Jay Cohen - Bank of America Merrill Lynch: Yes, thank you. I just want to focus on the favorable reserve development within Specialty Casualty. That source of earnings can jump around quarter-to-quarter. Can you talk about where -- it was a modest number, but I’m sure there were some puts and takes. So what are you seeing in different lines of business or different years even from a reserve development standpoint?
Jeff Consolino: Hey Jay, this is Jeff Consolino. You are asking about the Specialty Casualty business, correct?
Jay Cohen - Bank of America Merrill Lynch: Correct.
Jeff Consolino: Give me one second; I just want to get an exhibit here. So the Specialty Casualty business reserve development year-over-year was affected by a strong release last year in [BNO]. In addition to that also in the excess and surplus lines also affected the year-over-year comparison and the development.
Jay Cohen - Bank of America Merrill Lynch: Are there any lines of business or classes of business where you are, call it running at temperature where you are seeing some adverse development of note?
Craig Lindner: Maybe Australian general liability through market form, that might be as far as the businesses out of the casualty businesses the, if we have had any issues some issues there.
Jay Cohen - Bank of America Merrill Lynch: It sounds like in the U.S. the claims trends that remain fairly benign based on your commentary is that fair?
Craig Lindner: Yes I think that’s fair we are pleased with the performance of almost all of our specialty, casualty businesses today.
Jay Cohen - Bank of America Merrill Lynch: Great, thanks a lot.
Operator: (Operator Instructions). I am showing no further questions. I will now turn the call back over to management for closing remarks.
Diane Weidner: Thank you for joining us this morning. We look forward to with you again when we release our third quarter results.
Operator: Thank you, ladies and gentlemen that does conclude today’s conference. You may all disconnect and everyone have a great day.